Operator: Hello, everyone, and welcome to Yatra's Fiscal Third Quarter 2026 Financial Results Call period ended December 31, 2025. Today's call is hosted by Yatra's Co-Founder and Executive Chairman, Dhruv Shringi; and CEO, Siddhartha Gupta. The following discussion, including responses to your questions, reflects management's views as of today, February 12, 2026. The company does not take any obligation to update or revise the information. Before they begin their formal remarks, please be reminded that certain statements made on this call may constitute forward-looking statements, which are based on Yatra management's current expectations and beliefs and are subject to several risks and uncertainties that could cause actual results -- for a description of these risks, please refer to Yatra's filings with the SEC and the press release filed earlier this morning on the IR section of Yatra website. With that, let me turn the call over to Yatra's Co-Founder and Executive Chairman, Dhruv Shringi. Dhruv, please go ahead.
Dhruv Shringi: Thank you, operator. Good morning, everyone. Thank you for joining us on [Technical Difficulty] third quarter and 9 months ended fiscal year 2026 earnings. Let me start by briefing you first on the events that happened during the quarter, and how it has impacted the industry, and then our CEO, Siddhartha Gupta, will brief you on the operational performance and the financial performance in greater detail. The third quarter, which is typically a strong period for leisure travel in India, witnessed healthy demand across [Technical Difficulty] limitations which led to operational challenges for the airlines and a spike in cancellations across the entire country. Market data indicates that domestic [Technical Difficulty] and recovered in the second half of the month, and we've seen those factors continue to rise in the month of January and thereon. But the key positive during the period was the divergence between domestic and international travel trends. While domestic travel experienced short-term headwinds in December, international travel remained strong with healthy year-on-year and sequential growth. This reinforces that outbound and long-haul travel is in a structural up cycle, benefiting organized travel platforms like Yatra with strong corporate and international travel franchises. Also, the recent union budget sends a clear message and positive signal about the government's long-term commitment to the travel and tourism sector. By positioning tourism as a strategic growth engine linked to the employment generation, foreign exchange earnings, and regional development, the policy framework shifts from episodic support to building a more structural and sustainable ecosystem for travel and hospitality in the country. Key measures such as rationalization of tax collection at source on overseas tour packages to a uniform 2% rate, lower upfront cost improved outbound segment. In addition, increased emphasis on domestic connectivity through infrastructure investments, including high-speed rail corridors, waterways and regional access, among the initiatives to enhance hospitality capabilities through a National Institute of Hospitality and large-scale skilling programs, expand the talent pipeline for the tourism sector. There is a growing demand for Indian organizations to help digitize travel procurement while using AI-driven platforms that offer end-to-end automation, self-booking tools and integrated expense management, prioritizing compliance and cost savings. AI and predictive analytics platforms make travel procurement by forecasting demand, optimizing costs, enforcing policies and ensuring risks are attended in real time. AI-enabled self-booking tools can perform real-time policy compliance checks, flag risks like disruption or itinerary analysis and personalize itineraries with safety insights. The generative AI shifts from reactive auditing to predictive spend, cutting administrative friction and enabling productivity boosts in procurement. Yatra through its corporate self-booking platform, supported by AI bot and its richer expense management solution is taking the lead in driving this shift in industry dynamics. Moving on more specifically to our business for the quarter. Our B2C business, as was predicted earlier by us, [Technical Difficulty] is now still growing profitably. Additionally, our corporate and MICE business [Technical Difficulty] was well on track to deliver our strongest third quarter yet. With the exception of the recent inflation [Technical Difficulty] about our operational performance in the quarter. We remain richly supported by our continued focus on scaling the Corporate Travel business. The steady growth in corporate bookings, along with the increasing contribution from higher-margin hotels and MICE segments, positions us well for sustained margin expansion and improved profitability over the long term. With this, let me now introduce you to Mr. Siddhartha Gupta, who recently joined us as our new CEO. Siddhartha brings with him a wealth of experience across the B2B SaaS industry, and in his last role, was the President of Mercer Consulting in India and was also heading their SaaS-based talent acquisition business globally. Prior to this, Siddhartha has also held leadership roles in large tech and SaaS companies like SAP and HP. With that, let me hand you over to Siddhartha. Sid, over to you.
Siddhartha Gupta: Thank you so much, Dhruv. Operator, I hope I am loud and clear on the line. Thank you so much, Dhruv, for giving a preamble on our quarter performance and the industry trends. A very good morning to everyone on the call. Adding to Dhruv's comments, despite an industry-wide disruption in the airline sector during the quarter, Yatra continued to deliver in its Air Ticketing business, supported by seasonally strong B2C travel demand. Gross bookings in the Air Ticketing increased 22% year-on-year, supported by 14% growth in air passenger, which far exceeds the industry growth of about 1%. Take rates also improved from 6.2% to 7.1% on account of the quarter being more B2C focused. In the Hotels and Packages segment, overall performance during the quarter remained healthy. However, we did see some temporary impact in the MICE and the Corporate Events subsegment, with a few bookings getting deferred due to flight disruptions. Just to remind listeners, it was the disruption in the IndiGo Airlines schedule in India. This resulted in a modest onetime impact on the quarter, part of which we expect to roll over in quarter 4, supported by the continued strength in underlying Corporate Travel demand. Gross bookings in the segment grew 20% year-on-year, excluding the impact of deferment of the MICE business. Hotels would have grown over 30% on a stand-alone basis, supported by strong growth in our corporate business and in our affiliate business. While gross take rates moderately -- moderated slightly from 12.2% to 11.7% year-on-year on account of change in business mix, gross margins improved further from 9.7% to 10.2% year-on-year, reflecting prudent discounting in B2C and better margin realization from suppliers for corporate hotels. Our B2B to B2C mix was approximately 60-40 for the quarter versus the 9-month average of 65-35 in favor of B2B. Our Corporate Travel business continues its strong momentum. We onboarded 40 new corporate clients in this quarter, collectively adding an annual billing potential of INR 2.2 billion. As mentioned earlier, the disruption happened during the highly productive first 2 weeks of December, when Corporate Travel usually peaks before holidays. We saw deferment of MICE travel into Q4 and subsequently, few of the groups moved to Q1 of the next financial year as a direct result of uncertainty in the travel during that period. This disruption not only adversely impacted our operating performance, but also led to incremental working capital deployment where advances had already been paid to vendors for MICE Groups. These impacts were largely limited to the month of December, and the business is back on track. In the Corporate business, there's more to cheer. The early response to our expense management solution has been very, very encouraging, and we have onboarded 8 customers now on our expense management platform. Early traction proves that Yatra understands the pulse of what our corporate customers need. This solution has not only become a door opener to get new accounts, but also gives us a huge upsell potential in our existing accounts. A few thoughts on what you can expect from Yatra in quarters ahead. Our consumer-focused line of business has returned to growth path while improving margins. This was a result of sharp execution, coupled with successfully tapping into partnerships and affiliates for demand generation. In the near future, you should hear more on organic demand generation projects making impact, helping us further improve margins in this line of business. Our corporate value proposition still has a huge headroom for growth. Online penetration is around 23%, and we have laid a strong foundation for chasing this potential. We have sharpened our go-to-market by establishing separate teams to chase large and small and medium enterprises. Demand generation is amplified by a new inside sales team now, which has started augmenting the efforts of the team on ground. Early signals are very promising. Beyond new customer acquisition, our farming team have won multiyear renewals from some of our largest customers this quarter, proving that corporates want trusted partners who can deliver value to them. Needless to say that our success is closely tied to the speed at which we can deliver tech innovation. Our early investments in adding talent to our product and tech team have started showing results. You can expect us to further add gap between us and what's available in the market. Hope that gives you a flavor of where we're headed. At this moment, I would have paused and handed over to Anuj Sethi, who is our CFO, to brief you on the financial performance for the quarter under review. He has got caught up in a medical emergency. Hence, I'll take you through the financial performance as well, and then me and Dhruv will take the questions together. On the financial performance, for the third quarter of financial year '26, on a consolidated basis, our revenue from operations grew 10% year-on-year to INR 2,577 million or approximately $29 million, driven by steady demand across our key segments with robust growth from air ticketing business. In terms of segmental performance, our Air Ticketing passenger volume grew 13% year-on-year to 1,491,000. However, gross bookings grew 22% year-on-year to INR 16,931 million or $188 million. And Air adjusted margins rose 40% year-on-year to INR 1,195 million, or $13 million with adjusted margin percentage improving from 6.2% to 7.1%. Under Hotels and Packages segment, hotel room nights grew by 22% year-on-year to 508,000. Gross bookings increased 20% year-on-year to INR 4,306 million or close to $47 million, with adjusted margins expanded 15% year-on-year to INR 502 million or $6 million. On the liquidity front, cash and cash equivalent and term deposits stood at INR 2,042 million or $23 million as of 31st December 2025. Gross debt has marginally increased from INR 546 million as of 31st March 2025 to INR 583 million or $6 million as of 31st December 2025. With this, I would like to hand back to the moderator and open up for question-and-answer session.
Operator: [Operator Instructions] First question comes from Scott Buck with H.C. Wainwright.
Scott Buck: First, I'm curious, the revenue growth deceleration in the quarter, is any of that structural? Or you're viewing that all as just kind of the ebbs and flow of managing some of the macro challenges that are out there?
Dhruv Shringi: Scott, this is largely seasonal in nature. Quarter 3, if you would recall, is one of the lowest quarters for business travel, given the holidays that we have for Christmas, New Year and for Diwali, Dussehra, which both happen in this quarter. So effectively, you lose 1 month out of the 3 in holidays. And then it got compounded this year with the flight disruptions that happened during the first 2 weeks of December. So it's not a structural shift. It's just a one-off, given the disruption that happened in the industry.
Scott Buck: Okay. That's fair. Second, I just want to ask about the MICE business. Are you seeing some of the macro challenges out there, whether it's tariffs or anything else, having an impact on that business? I know there were some headwinds in the quarter.
Dhruv Shringi: No, we haven't really seen any impact of that, especially things like tariff and all. We do, in fact, expect that given that there is a new trade deal which is in place between India and the EU and India and the U.S., we will see business travel scale up even further when it comes to travel between both Europe and the U.S. But we're not really seeing any headwinds per se on account of these. Sid, if you want to add something extra on that?
Siddhartha Gupta: Yes. So this MICE as a segment has grown and has tremendous potential for us to grow into. This was a very fragmented market about 3 to 4 years back. And now over the last 2 years, Yatra has become one of the top 3 players operating in this space in India. And Indian economy is one of the fastest-growing economies. So there are multiple industries where corporates are traveling, not only outside India, but within India as well. And hence, there is a huge headroom for growth. What we've seen is that this entire segment is getting more formalized. So instead of very small players operating these events for corporates, now the corporates prefer doing business with large vendors like ourselves. So I think there's a huge potential, and we don't see any disruption in this space at all.
Scott Buck: Great. That's helpful color. And then last one for me, guys. You continue to do a really nice job adding new corporate partners on the travel side. I'm curious how many of those kind of obvious or low-hanging fruit opportunities are still out there? And at some point, do you need to change or pivot the way you're pitching some of these customers to continue to bring on that Corporate Travel business?
Dhruv Shringi: I think at this time, we have got a lot of headroom in this. Our initial mapping had suggested close to about 13,000 organizations that we could target as part of this. We are still just in excess of about 1,000. So I think there is a lot of headroom for growth for us in this sector. I think Siddhartha coming on board will also sharpen our focus on how we go to market. And maybe Siddhartha can elaborate a bit more around how he's gone ahead in the short period of time in augmenting the sales team and putting in some new things in place, which will help us drive further growth. Siddhartha?
Siddhartha Gupta: Yes. So to add, I concur with Dhruv completely. We have barely scratched the surface. There is a huge headroom for growth because the offline Corporate Travel still is the majority market and the value proposition of Yatra from providing an online Corporate Travel platform, which caters for all uniqueness of every corporate customer has a huge headroom for growth. To give you a parallel, in my days at SAP or Hewlett-Packard, corporate India itself has more than 30,000 companies, which are potential customers to Yatra. We have just about crossed 1,300 right now. So there's a huge headroom for growth for us. From a go-to-market standpoint, we have commenced a very ambitious and aggressive go-to-market sharpening exercise at Yatra. We have divided our go-to-market into 3 pillars. One is -- so we've separated these teams out. One is the elite sales team, which looks at only large enterprises and tries to get us more inroads into large corporates where travel spends are very high. Then we've got a separate team, which is looking at small and medium enterprises, which operates through digitally creating demand and then through an inside sales, landing it into our kitty. And the third bit is we are already one of the larger players in India from a large enterprise automation. So we have a very large existing account base. So we have a team called key account managers, and it's headed by a very senior leader here in India. And the mandate there is to upsell and grow our existing relationships where we are introducing newer solutions like expense management and other solutions and especially international hotels and travel so that we are able to upsell into our existing customer set as well. So overall, we are sharpening the go-to-market, running a very strong cadence on a weekly basis to ensure that spikes remain healthy and conversions remain healthy as well. So you should see momentum pick up from here, and we expect our strategy of leaning more towards B2E to grow Yatra being very successfully executed over the next 3 to 4 quarters.
Operator: [Operator Instructions] We have no further questions, so I'll hand back to the management team for any final remarks.
Dhruv Shringi: Thank you, operator.
Siddhartha Gupta: Dhruv, would you like to....
Dhruv Shringi: And thank you, everyone, who joined the call today. And as always, we remain committed to driving shareholder value and being able to address any questions that you might have. Siddhartha and I are always available. Please feel free to reach out to us through our IR firm, ICR, and they can direct you to us. We look forward to engaging with you and continuing to deliver on the strong results that we have done for the last few quarters. Thank you for your time today.
Siddhartha Gupta: Thank you so much, everyone.
Operator: Ladies and gentlemen, today's call is now concluded. We'd like to thank you for your participation. You may now disconnect your lines.